Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Innergex Renewable Energy’s Conference Call and Webcast for its 2014 Year-End Results and 2015 Objectives. [Foreign Language] At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session for analysts and institutional investors, and instructions will be provided at that time for you to queue up for questions. [Operator Instructions] I would like to remind everyone that this conference call is being recorded today, Wednesday, February 25, 2015 at 10 A.M. Eastern Time. I will now turn the conference over to Marie-Josée Privyk, Director, Communications and Sustainable Development. Please go ahead.
Marie-Josée Privyk: Thank you. [Foreign Language]. Good morning, ladies and gentlemen. If you haven’t done so already and would like to access the webcast please go to our website at www.innergex.com. I am here today with Mr. Michel Letellier, President and CEO of Innergex; Mr. Jean Perron, Chief Financial Officer and Mr. Jean Trudel, Chief Investment Officer. Please note that the presentations will be in English. However, you are welcome to address your questions either in French or English. [Foreign Language] I would also like to point out that journalists are invited to call us afterwards if they wish to address any questions. In a minute, Mr. Perron will provide some details on our financial results for the year ended December 31, 2014. Mr. Letellier will then provide an overview of our operating activities in 2014 and our objectives for 2015 and Mr. Trudel will provide some highlights of our financing. We will then open the Q&A session with all three senior executives. The financial statements and the MD&A have been filed on SEDAR and are readily accessible via the internet. You may also access the press release, financial statements and the MD&A on the Innergex website in the Investor section. During this presentation, we will refer to financial measures such as adjusted EBITDA, free cash flow and payout ratio that are not recognized measures according International Financial Reporting Standards, as they do not have a standardized meaning. Please be advised that this conference call will contain forward-looking information that reflects the corporation’s expectations with respect to future results or developments. For explanations concerning the principal assumption used by the corporation to derive this forward-looking information and the principle risks and uncertainties that could cause actual results to differ materially from those anticipated, I invite you to consult the first pages of the webcast presentation as well as Innergex’s annual information form. I now turn the conference to Michel Letellier
Michel Letellier: Good morning, everybody. Just to inform you or clarify the new role of Jean Trudel, he will be now concentrating his effort toward M&A and development activity, mainly in U.S. and Europe it will obviously continue I have the Chief Investment Officer to exerts his leadership in finance as well, but it shows little bit our new focused on getting out of Canada for the time being, well not the time being and just having a new way to look into international market. Jean Perron will take over with me the Investor Relationship, so it’s for the rest of the presentation Jean Perron will cover the financial result. So without more clarifications Jean Perron can you guide us to the financial report?
Jean Perron: Good morning. The quarterly results for Q4 2014 are showing the production that was at under 20% of the long-term average of 686 gigawatt hours due mainly to above average water flows in British Columbia. This translates into 820 gigawatt hours of production, compared with production of 497 gigawatt hours in Q4, 2013. You will recall that last year production was well below the long-term average of 609 gigawatt hours for the quarter. Revenues for the quarter were $68.2 million compared with $41.4 million in 2013. The increase is due to above average water flows to the additions of K Creek in Northwest Stave river facilities both commissioned at the end of 2013 and to the acquisition of SM-1 in June 2014. Higher production in Q4 brought the production to 100% of the long-term average for the year. This brings the company committed production to 99% of long-term average since Innergex IPO in 2003 and demonstrate the accuracy of Innergex prediction regarding production at each of its facilities. Operating expenses, G&A and prospective expenses for Q4 were up $3.7 million or 23% due to the greater number of facilities in operation. Adjusted EBITDA stood at $48.7 million compared to $25.6 million in 2013. The increase is mainly due to the early production similarly finance cost were up $4.6 million or 29% due to the addition of the new facility. During the quarter, interest rates went down, which resulted in an unrealized loss on derivatives and assessment of $49.6 million. This non-cash item is due to the fairly large amount of gone forwards due to our exposure to interest rate movements for other project financing to be drove in the coming year. These gone forwards will be settled simultaneously with the closing the project financing for the operated with Older Creek, Big Silver Creek and MU project. Excluding this unrealized loss on derivatives and the related income taxes, net earnings would have reached $11.2 million for the fourth quarter, compared with a net loss of $5.5 million in 2013. Overall, a very strong fourth quarter allows us to end the year on the positive note by reaching our long-term average production. Our three sectors namely, hydro wind and solar were basically in line with the respective long-term averages. As a result, revenues for the year increased 22% from $198 million last year to $242 million this year and adjusted EBITDA increased on 21% from $149 million to $180 million this year. The increased adjusted EBITDA was partially offset by our finance cost, which rose from $65.2 million to $86.5 million. Most importantly, our free cash flow increased from $59 million to $67.7 million and our payout ratio improved from 93% in 2013 to 88% in 2014. Since the beginning of the year 2015, our production has been above the long-term average at most facilities and particularly in BC. It is still very early in the year and much too early to guess what the energy, wind and solar regime would be this year. But nevertheless we remain confident in our ability to reach our long-term average production gears year-over-year. This concludes my review of the results, I’d be happy to answer your questions later on in the call. And I now turn the call over to Letellier.
Michel Letellier: Good morning gentlemen. So all-in-all a very good last quarter and this definitely very happy towards what we are going to focus on 2015. Just a quick reminder as Marie-Josée said you can follow the webcast on the Innergex website, so I’ll be covering the webcast not necessarily explaining or giving you all the details on the webcast it’s I’m inviting you to take a closer look at the end, but I’ll comment on most of the pages. So we’ll do a very quick recap on what happened in 2014. Our objective for 2015 look into 2017 cash flow and EBITDA and a perspective on the long outlook between 2015 and through 2020 after our expressed strategic reflection during the 2014. And obviously we’ll be available for question afterwards. So if we come back to 2014 we said we would increase our EBITDA by 20%, we did 21% we increased our production by 24% and our revenue by 22%. Thanks also to the additional contribution for SM-1 Hydro facility that we acquired in June, if you remember that’s a 30 megawatt facility in Quebec very happy to have that new facility in our portfolio. What we said also in project development is that we were to advance Big Silver, we would finalize the MU project board permitting and I’ll get back into the next slide a little bit in more detail and that we would be initiating our Saint-Paulin and wins a renewal process with Hydro-Quebec. So if you look in the next page we’re talking about the development project if we start with Tretheway Creek in BC that project will reach COD now we’re forecasting early Q4 for Tretheway Creek very well advance turbine component are to be delivered on site, silver [ph] works, the pen stock, the powerhouse are very advanced, so far we’re very, very pleased with the advancement of the construction, we had very mild winter also in BC so that helped advancing construction in BC. The next wave of project is Boulder and Upper Lillooet. These two as you remember have not advanced during winter because the winter work over there has stop because of the snow and it was basically forecast this way. We’re keeping the winter of 2015 and ‘16 as a buffer in order to advance the tunnel, which are still on the critical path, that’s the only I would say concern we have in terms of advancement in Boulder or in Upper Lillooet. It’s not that it’s different than what the type of risks we were looking into the tunnel it’s just that until it’s done it’s still the main concern on these two projects. Overall Boulder and Upper Lillooet are going very well as we mentioned in the last call, things have start up to be very good at the end of the year. We have closed the construction site with a very positive note in completing the switch over and the water intake from the excavated canal to bypass to river so that has been done in time, so construction should start somewhere in end of April in those two projects. One project that we said we would start construction is Big Silver Creek, as I mentioned we had very pleasant winter so far and a very I guess late winter also so that means that we were able to work very easily in Big Silver, tunnel pleased to announce that we have achieved more than 50% advancement in the tunnel. So this is very good, rock condition are as we have planned if not a little bit better, we intend to finish the tunnel by July so this tunnel will be behind us in Big Silver Creek other than that Big Silver is doing very well on the power plant, the water intake as well all-in-all we’re quite in advance in what we had anticipated in Big Silver. But I guess the best update is on MU project is 150 megawatt wind farm in Quebec, we have advanced that project a lot in 2014, we have completed the public hearing process and we have obtained all the important permits in MU. We have started the construction of the pre-construction activities by clearing trees and we have signed the turbine supply agreement with Senvion very, very pleased with that contract. We were able to convince Senvion to bring the 3 megawatt machine instead of 2.2 megawatt machine, and through that process we have saved $25 million on that project, mainly because we have selected that machine. Also we were able to negotiate a long-term service agreement with Senvion that help save about $3 million in the operation cost of that particular project. So we have increased our guidance by $3 million on EBITDA for that particular projects so all goods news on this project. We just received also last week five proposals for the balance of plant, I am pleased to report that this seem to be consistent with our forecast, so we don’t see any increase in the balance of plant that we were I guess forecasting for this project. So all-in-all that project is doing very, very well and construction should start as soon as the snow cleared in the Gaspe Peninsula. I guess with through those comments you can feel that we are very confident in the advancement and the construction of those project as our portfolio we are very, very confident that we will meet the expected cost and expected COD on this project. Personally, I think we have de-risked a lot this development pipeline and hence we are very, very confident towards our ability to raise the expectation of the cash flow for the 2017. Now, I will let Jean Trudel cover the project financing piece on this development pipeline. So Jean can you go ahead?
Jean Trudel: Yeah, sure, thank you Michel. Good morning, everyone. So just on the slide nine, I guess, we are happy report that actually it’s now old news for you but Tretheway pre-financing was put in place this year. One important factor that we did also throughout 2014 was to implement and complete our hedging program for all our project, but also Mesgi'g Ugju's'n project. So we are protecting the recurring value of our project, so that’s a very important aspect because if rates were to rise it could be problematic in our case the rates went the other way, but I think this hedging program had to be put in place, so it was done. Also late in the year we signed an engagement letter and a term sheet with a very attractive conditions actually for the Upper Lillooet River and Boulder Creek project it’s a very significant financing and we were happy to see that the Canadian market could actually be competitive and that we couldn’t receive several offers to finance a sizeable amount like this. Also we receive several proposal for Big Silver Creek we, started the process for this one after Upper Lillooet, but now we are in the midst of singing engagement letters and term sheets also on Big Silver. As far as Umbata Falls go it’s a small project financing that we have it’s a mini firm financing that came to its maturity, so what we did so far is that we concentrated on the larger financing we extended the maturity date of Umbata Falls and we are in the process of completing the refinancing of this asset as well. So just on page 10, I guess it gives you an overview of the size of each of these financings and the expected timing to close of course these amounts are not inclusive of the hedging losses the unrealized hedging losses that we have on these assets, but these are financeable. So the amount that you see here are not accounting for that, there is about $90 million as at December 31st of hedging losses that will be financed and of course it’s part of our term sheets and engagement letter that these amounts would be completely financed so it’s we neutral in the sense that the project can support greater amount of debt because the rates are so much lower today than they were when we hedged. So it works perfectly well to protect the value of these projects. We are very, very advanced on the Boulder Creek and Upper Lillooet it’s combined together over the next weeks we should be in a position to finalize this financing. Then Big Silver will be the next one and we will shortly start also and Mesgi'g Ugju's'n as soon as we’ve signed all the main contracts and that the numbers are finalized and at that point in time we will be able to start the process for Mesgi'g Ugju's'n and there is obviously a lot of them interest still in the finance community for financing of these projects so there is no worries from this end of things. So on this I guess I will just switch it back to you Michel.
Michel Letellier: Alright, thank you. So we’re coming back just to quick recall on 2014 report card, we were looking into opportunities if you remember on the RFP of Quebec we had submitted little bit more than 800 megawatt of project we still think they were very committed and very good. The numbers are now are more open into the issued energy here in Quebec so we can balance what we had bid. So all-in-all I think as a competition goes we were very close so we have not been disqualified in terms of return or out market completely it’s just that this RFP was very, very competitive and only three project were selected. So it’s good for the next time we’ve learned, we are adjusting so very stable positive toward future projects in Canada and being able to compete. Remember that we have qualified for 440 megawatt for the Ontario RFP. I’ll talk about a little bit more on our objective of 2015, but this RFP is on our priority list also for 2015. In terms of growth opportunity in 2014, we said that we would close SM-1 so we did and we were looking - we have also look into a few acquisitions. We have learned from these I guess the participation in process. We are adjusting and we’ll talk about it into the long-term outlook. So if we’re coming back to 2015 objective, which is basically a little bit more forward-looking. In terms of operating performance we’ll grow our production by 3% to 5% that takes into account the full participation of SM-1. Adjusted EBITDA should grow by 1% why is because we are focusing a little bit more on prospected project in international markets, we’re investing a little bit more money there, so hence it’s creating a little bit more pressure in the expense, but I think it’s well invested money. And we’ll maintain the payout ratio below 100%. In terms of development, we want to still focus on execution, as we mentioned we have four projects under construction in BC and one in Quebec. These are very important for us and it brings a lot of future cash flows. So we are focusing on execution, I think that from the past you’ve seen that we’re pretty good on execution and we’re not about to change, this is the trademark of Innergex in delivering budget on time and on budget. So we are going to focus on that for 2015. That doesn't mean that we’ll not be looking into growth opportunity, we’ll submit project in the Ontario market. We’re advancing some project prospective project in BC, mainly the interproject, the Nulki Hills project and to some degree here in Quebec we have our First Nation project in Hydro in the West of Quebec called Kipawa we might have a chance to bring that project forward for future RFP potential, future RFP in First Nation owned project in Quebec. But I think that it’s the first year we’re so I guess out spoken or open about the idea of going into international markets. Obviously we’ll do it the way Innergex has always been doing it meaning that we’ll do it into balance approach; we want to make sure that we keep our low risks and long-term view in this future investment in international area. I think that you’ve heard me say quite a bit of time that it’s a question of balance, we want to make sure that we have a strong cash flow to support development activities and construction activities, while remaining positive or open to take risk into perspective projects, so that’s what we’re going to do, but in a balance way and being international we won’t change our focus of making sure that we’re managing our risks and we keep our focus. I think if we look into that bring us to also the lookout for 2015 run rate. I think that I am trying to convince people that we’re very, very confident in the way we are managing our development project, when we say development project it’s a construction like I said it’s our focus, it’s our trademark to be able to deliver those projects and with that confidence we can talk about free cash flow of 2017, obviously that doesn’t take into account future investment or acquisition. These numbers both on EBITDA and cash flow is only based on the existing portfolio that we have, with the development project that we have. And it’s taking into account about $8 million of prospective project per year those are included into the EBITDA and into the free cash flow, but it doesn’t take into account any potential acquisition or future development in those number. So again, I think that we can feel very comfortable by 2017 that we’ll reach $295 million of EBITDA, that would translate with $95 million of free cash flow available for both paying the dividend and invest in our future growth of the projects. So that brings us to the overview of 2015 and 2020. Again, I think it’s important to restate our focus and statement; we will remain exclusively in renewable energy. We’ll maintain the diversification of energy source, mainly hydro-wind and solar and we’ll try to improve on the portion of solar in our portfolio. We want to still be a leader in a position in Canada, we still believe that Canada has a great potential going forward, but we agree that the growth might be slower in the next few years in Canada. So hence our willingness to look into international market, but like I say, we’ll do it in target market without taking undue risk and making sure that we’ll try to create value for our shareholder in doing so. So again focus on high quality asset especially hydro if we can and I think that we have a knowledge in Hydro and we are fully integrated in our ability to make, create value and the engineering, construction and operation of Hydro. We want to maintain the low risks business model, maintain a long-term outlook, focused on partnership especially with First Nation, I think that we have shown that we have this ability to create value for First Nation and local partners into a win-win situation like I said quite often. We believe in sustainable development and sustainable development go through the tree peak, the planet, the people and the profit, we want to make sure that we have a balanced approach with those three component of the sustainable development. And we’ll maintain the discipline of acquisition that are accretive to cash flow, this will be important for us into any future M&A activity. So in summary, I think that Innergex has a sustainable dividend, we are showing our confidence in this by increasing our dividend by $0.02 this year, we’ve done the same thing last year. So I think that it shows the commitment of the management and the Board of Director towards rewarding our shareholders and our confidence that the company has bright future in terms of free cash flow. We just gone through the 2017 numbers, that translate into 18% growth in our EBITDA from $180 million to $295 million of EBITDA for the company and the free cash flow growing from roughly $68 million to $95 million so that translate to a 12% growth component on our free cash flow, which is I think a very positive. We’ll be looking towards having a payout ratio stabilizing around 80% and obviously with the numbers that we have gave you that is creating some room to increase dividend as our cash flow increase for the future. So very, very happy to close 2014 and very positive to enter 2015. So on this I’m happy to answer questions. Thank you.
Marie-Josée Privyk: Thank you, Michel. This completes our presentation and we now invite you to ask your questions.
Operator: Thank you. Ladies and gentlemen we will now conduct the question-and-answer session. [Operator Instructions] Your first question comes from the line of Neilson Ng with RBC Capital Markets. Your line is open.
Neilson Ng: Great, thanks and congratulations on a strong quarter.
Michel Letellier: Thank you, Ng.
Neilson Ng: Just a quick question on the international markets, so I think you mentioned that [indiscernible] will focus on expansions in M&A in the U.S. and Europe? In Europe can you specify which countries you’re focused on?
Michel Letellier: Well, Europe it’s difficult to say country in Europe because obviously they’re interlink, but the typical would be probably focusing on France and perhaps UK, but obviously Germany is very close to France as well but we’ll try to stay away from Portugal, Spain or Italy that seems to be a little bit more difficult to predict. So that’s being Europe, the U.S. as you know is a huge market, it’s a little bit sometimes complicated to understand work they’re doing, but obviously we’re interested in the U.S., one thing I didn’t say and it’s probably going to be covered, but we’ll be looking also toward South America or Central America well not Central America, but maybe Mexico as you might have seen, Mexico seems to be going through a change in list base and that would enable IBP like us to participate more in the market. So we’re interested, we’re curious about those markets. And the twist that we’d like to have is maybe take advantage of the hydro component that we have and the ability to create value engineering, thoroughly engineering. I would say that there’s probably less competition in the hydro sector especially in those market than solar or wind that doesn’t mean that we’ll be interested in looking into wind and solar in Mexico or somewhere else, but we think that we have little bit more competitive hedge if we can develop hydro facility.
Neilson Ng: I see so just to clarify you’d kind of focus more on hydro in Mexico and South America whereas for the U.S. and Europe it would be wind and solar?
Michel Letellier: That’s fair to say, but obviously as opportunity would be raised we would be flexible, but that’s our perception of our I guess advantage to enter the Mexican market and maybe South American market.
Neilson Ng: I see. And then just on that, in terms of the international markets will you be looking to form any joint ventures with local partners or are you kind of exploring all opportunities and all options?
Michel Letellier: Well obviously as you have seen in the past we are quite open to make partnership and joint venture I think that this is probably win-win situation when we enter if we can create and help local partner by our expertise and our capital that would be great. We will also be focusing on making sure that we are creating some value also in the financial engineering. We won’t be shy to try to maximize our after tax return through potential joint venture with pension fund of late like we have done with SM-1, I think we can manage to reduce the risk and improve on after tax money by looking into those financial engineering as well.
Neilson Ng: I see, okay. And then just a few questions on the dividend policy and payout ratio. So you mentioned that you are targeting an 80% payout ratio longer term. I guess given that there is a bump in cash flows in 2017 are you guys looking to gradually grow dividends each year or would there be a decent bump a onetime increase in 2017?
Michel Letellier: I think that the theory behind market valuation is lean towards being steady and predictable so we would rather have a trend, establishing a trend for growing the dividend and just raising sharp move the dividend I don’t think it would create any good for us other than having maybe the stuff to be bump once that happened. So that’s why I encourage you guys to look into a little bit more in detail our 2017 cash flow, like I said we are very, very confident in our ability to delever the existing construction pipeline, enhance the Board, also feel comfortable and that’s why we have seen the increase of the dividend last year and this year as well.
Neilson Ng: Okay, thanks. And then just one last question, in terms of 2015 you mentioned that EBITDA will increase modestly by about 1%, but in terms of free cash flow is that actually going to decline in 2015 a little bit? I am just thinking debt repayment is probably going to be a little higher and cash flow to non-controlling interest might be a little higher as well in 2015?
Michel Letellier: You are so close into the margin as you seen little bit of production over the average can make quite a bit a difference. So it’s very I guess so close that either of I think you can we can say that 2014 cash flow and 2015 cash flow will look little bit the same, mind you that we will try to be below the average we will be below 100%, but that depends also on how much possibility or project that we will work on 2015, I mean it’s not material at all I think.
Neilson Ng: Okay, thanks. Those are all my questions.
Operator: Our next question comes from the line of Ben Pham with BMO Capital Markets. Your line is open
Ben Pham: Thank you and good morning, everybody.
Michel Letellier: Hi, Ben.
Ben Pham: I wanted to go back to the commentary about the non-Canadian just looking at that non-Canadian opportunities more and I am just wondering when you think about a potential initial deployment of capital, I was wondering what do you have a dollar amount in mind for something that it’s something that did come up in terms of how much capital you would put in initially?
Michel Letellier: No it will depend like I said we could also enter into a transaction knowing that we have the ability to sell part to a finance partner as well. I think that you’ve seen in the past that we have been balancing our approach. We don’t want to spook the market, we don’t want to surprise the investor by doing something out of the I would say something prudent. So we’ll be guided by those that doesn’t necessarily mean that we won’t be looking into a material acquisition, something over $100 million worth of investments if it’s existing would not be a big issue for us, provided that the basis of those potential investment would be covered by long-term contract, good equipment, long-term view all these things will be considered. And again, we’ll not change our view or our investment thesis because we’re going in internationally, we’ll be selective, we’ll be disciplined and we’ll think about long-term and we’ll think about creating value for our shareholders.
Ben Pham: Okay. And then just going back to the free cash flow guidance for ‘17, are you assuming a lot more cash taxes to be paid at that time or do you have other tax pools to shield yourself for quite a number of years beyond that?
Michel Letellier: Well Jean Perron is the expert, but we’re not expecting to pay a huge amount of tax for the next four, five years. And obviously always working to improve and trying to defer the payment by replenishing the tax pool, obviously Jean has many tricks in his pocket to reshuffle our structure that is fairly complicated. So we have maybe some room still to improve on that aspect. And as we grow and as we acquire more asset obviously that pool is replenished and we’re trying to plan to put those assets where they are more I guess efficient tax wise.
Ben Pham: Okay great, those are my questions. Thank you very much.
Operator: Your next question comes from the line of Rupert Merer with National Bank. Your line is open.
Rupert Merer: Good morning everyone.
Michel Letellier: Hey, Rupert.
Rupert Merer: Just going a little deeper into your potential to grow internationally, how much have you looked into the potential for hydro developments in Mexico and South America? Do you have a sense of the size of that opportunity how many project opportunities that are maybe available at this point?
Michel Letellier: We’ll comment later I will keep you posted, but there is, probably we’re fairly surprised in terms of potential, I would say that the type of project that seems to be available are a little bit like British Columbia and matter of fact there is a pocket of market that looks a lot like British Columbia high head project with Benz Dock tunnel all kinds of segmentation problem with the water and thing. All those things that we love to think about and take care of. So I think that the type of project can be from 8 megawatt to 40, 50, 60 megawatt. I don’t think we’ll into a huge project in the 400, 500 megawatt type. I’m not saying that we’ll never participate in such a project, but I think the sweet spot for us would be difficult project like we’ve been very successful in BC.
Rupert Merer: Are there any opportunities for M&A and hydro in South America, Mexico at this point, are you aware of any operating assets that look like they would be of interest you or do you think that acquisitions there could be more long lines of development asset?
Michel Letellier: I see that I’m not excluding some, but I think there is since those markets are more growing market there’s more opportunity to create development opportunity and put little bit of our knowledge to work, I think that Europe is a much more mature market and there’s a lot more asset, existing asset that might come for sale. So I guess it’s the perfect world will be to acquire existing cash flow being accretive out of Europe and create value and putting our knowledge into Mexico or South America mainly in hydro. So that would be our perfect I guess, perfect penetration of acquisition and development.
Rupert Merer: Great. And then secondly you have a convertible debenture that’s callable on April 30th, it seems to be in the money how are you looking at that today? It looks like you might benefit from not forcing conversion have you thought about what you could do with that convertible debenture if the share price remains where it is today?
Michel Letellier: Obviously we’re looking in all our option, but that debenture is out there and it’s trading as it trades. If we don’t need capital as we again I think that it’s important to restate that we don’t need any capital to do the project that we have already in the development. We are fully financed with the project finance and the equity that we have so if we are not successful in acquisition or gaining new project there is no need to do anything with that debenture.
Rupert Merer: Okay, perfect thank you.
Operator: [Operator Instructions] Your next question comes from the line of Matthew Akman with Scotia Bank. Your line is open.
Matthew Akman: Thank you very much, good morning. Just on the financing you guys were just, I think what you’re saying is you don’t need any additional equity and I’m just wanting to confirm that that includes for the MU wind project?
Michel Letellier: That’s confirm, it’s all our project including MU and in terms of equity.
Matthew Akman: How do you think of where the equity came from for that project because obviously there hasn’t been a lot of free cash flow generation, so how do you think about that?
Michel Letellier: We had better big finance than anticipated and we have the drift and it was already included in our capacity the existing mine that we have if you remember we have in asset that covers the $425 million line that we have. So that is our buffer to use for equity purposes, but again this is backed by 13 asset with long-term BPA.
Matthew Akman: Okay. Just shifting to the development of international development, you guys sort of dipped your toe in the water just a little bit on merchant in the U.S. around Midsea and I’m just wondering if you have any appetite for any further merchant exposure in the U.S. at all as you look towards your development there?
Michel Letellier: As you know we had the long discussion when we acquired Miller Creek, which is Canada and it’s close to the Midsea market, we’re not a big fan of taking risk in the merchant market, although we thought that Miller Creek was a great asset as you might have seen we have produced a lot more than we have anticipated, we had update on the facility that enable us to produce a lot more than the previous owner and we also had a plan to reduce the cost. So we felt confident at the time that there were a lot of synergy and fixing on that facility that enable us very, very comfortable forecast for that particular plant, even though we were on merchant. But we are very keen in taking merchant risk, not say that through portfolio or something that we would not be ending up with exposure, but it’s definitely a cup of tea.
Matthew Akman: Okay. And then just I guess last point is on FX are you guys have given any thought to whether if you go international you’d be willing to take that kind of exposure or would you do more like you have with other project and try lock in kind of a Canadian cash flow stream supporting the dividend?
Michel Letellier: We will be very cautious, we’ve seen a lot of our peers being hurt when exchange rate went against their currency where they were paying dividends very, very well aware of that. So we’ll arrange either natural hedge throughout our balance sheet financing as we mentioned we have $425 million of financing in dollar that can be switch into euro or any other currency that would hedge ourselves. So we will look into also straight in terms of hedge and we’ll put that into any future acquisition. So we are very, very minded into mixing or not mixing, but how do we see patching the risk exposure between our dividend and the currency where the cash flow are coming from.
Matthew Akman: Okay.
Michel Letellier: Not keen to take naked exposure on currency.
Matthew Akman: Okay, thank you very much. Those are my questions.
Michel Letellier: My pleasure.
Operator: Your next question comes from the line of Nelson Ag with RBC Capital Markets. Your line is open.
Neilson Ng: Great, thanks. Just a few follow-up questions for you. In terms of the six projects with In-SHUCK projects in BC, what’s the expected timing for PPA like are you - have you made progress with the province in terms of getting a PPA and is this going to be a long process?
Michel Letellier: You’re asking me if dealing with governments are easy, no. But we’re positive we’re seeing advancement, we’re trying to be creative in terms of pricing and what should be included in the pricing, we’ve seen BC government being creative with the pricing of side C. So we’re just hoping that they can be as creative when we’re talking about IPP and First Nation project. But that being said, we are engaged with the government and BC Hydro and our First Nation partner towards finding a solution, and we’re still positive towards, hopefully during 2015, to come to a conclusion.
Neilson Ng: Okay. And then separately in terms of the wheeling services your hydro development received, do you expect to receive any cash for wheeling services in 2015?
Michel Letellier: Yes in 2014 we had the interconnection reimbursement through [indiscernible]. In 2015, we’re planning to receive the Big Silver, but how much 3 million I think around $3 million from Big Silver.
Neilson Ng: Okay, perfect. And then just quickly on hydrology and wind resources so far today. Do you have a quick update in terms of the year-to-date resources so far?
Michel Letellier: Yeah well Nelson, you look across your window in Vancouver do you see no on the top of the mountain range?
Neilson Ng: It’s being really nice, great weather here.
Michel Letellier: And for a while, you heard me saying that it was not normal winter in BC last three years have been cold in BC and we started the year always behind. This year is the reverse, we’re probably close to 200% in over budget in the portfolio of hydro in BC. Wind in Quebec is a little bit slow, not bad, but not over budget and solar just slightly below long-term average, because we had quite a bit of snow in Ontario that somehow slowdown the production in solar. But all-in-all very - and the hydro in Quebec is doing just fine slightly over budget so far.
Neilson Ng: Okay, thanks Michel. And just one last question for you Jean Trudel. In terms of the financial for the remaining hydro projects do you expect that those projects will also have a five year interest only period before amortization starts?
Jean Trudel: Yeah, that’s typically the structure that we are using now like we aim to get some form of interest only period so yes that’s our goal.
Neilson Ng: Okay, great. Thanks a lot.
Operator: The next question comes from the line of John Mould with TD Securities. Your line is open.
John Mould: Thanks, good morning. Just a quick question for you on the Ontario LRP, there has been some press about some potential local opposition to your Mattawa wind project and mainly just more generally can you talk a bit about the importance of local support for that RFP and how that’s unfolding for you so far?
Michel Letellier: Well as a policy we will not be commenting on project in the process of RFP, but in general as you know Innergex believe in sustainable development and obviously we are aiming to have support from local group we’ll act accordingly throughout the RFP process.
John Mould: Okay, fair enough. Everything else that I had has been answered, thanks very much.
Michel Letellier: Thank you.
Operator: Ms. Privyk, there are no further questions at this time.
Marie-Josée Privyk: Thank you, and thank you everyone. We appreciate this opportunity to provide an update of our company. Please don’t hesitate to contact us if you ever have other questions. [Foreign Language].